Operator: Good morning and welcome to the Worthington Industries first quarter earnings results conference call. (Operator Instructions) I would like to introduce your first speaker, Miss Allison Sanders, Director of Investor Relations. Ms. Sanders, you may begin.
Allison M. Sanders: Thank you, Joyce and good morning, everyone. Welcome to our quarterly earnings conference call. Before we begin our presentation, I want to remind everyone that certain statements made in this conference call are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These statements are subject to risks and uncertainties, which could cause actual results to differ from those suggested. Please refer to the press release for more detail on factors that could cause actual results to differ materially. For those who are interested in listening to this conference call again, a replay will be available on the homepage of our website at www.worthingtonindustries.com. With me in the room today are John McConnell, Chairman and Chief Executive Officer; George Stoe, Executive Vice President and Chief Operating Officer; and Richard Welch, Controller and Principal Financial Officer. John McConnell will begin. John.
John P. McConnell: Allison, thank you and good morning, everybody. We certainly thank everyone for joining us at an earlier hour than normal. This will be kind of the standard around the September earnings release and I particularly apologize to those in the Central Time Zone who had to get up a little earlier yet. We are very pleased with our results this quarter and with those employees who were instrumental in producing them. This quarter was the best quarter in Worthington’s history and while our results in the past two quarters were aided by tailwinds stemming from FIFO inventory gains in a rising steel price environment, it is clear to me that our performance was also the result of improved execution and that we maximize the opportunities that were present. I say this to acknowledge the improving performance of our teams and also to highlight the fact that the tailwinds as they diminish and retractions in both automotive and commercial construction markets continue to build, our execution will continue to improve, helping to mitigate those headwinds. Our initial cost reduction efforts announced in the first quarter of fiscal 2008 have grown into a broader performance improvement initiative that we are calling the transformation plan. The transformation plan includes a focus on cost reduction, margin expansion, organizational capability improvements, and cultural change. The intent is to drive excellence in three core competencies -- sales, operations, and supply chain management. The goal of the transformation plan is to increase the company’s sustainable earnings power over the next three years. Now I’ll talk more about the transformation plan in closing but now I’m going to turn the call over to Richard Welch, our Controller and Primary Financial Officer, and George Stoe, our Chief Operating Officer, to provide more details on an excellent first quarter for fiscal 2009. Richard.
Richard G. Welch: Thanks, John. Good morning. Our first quarter of fiscal 2009, which ended on August 31, 2008, we reported record earnings per share of $0.86 per share. Excluding restructuring charges in both periods, earnings per share were $0.94 compared to $0.27 last year. Restructuring charges amounted to $0.08 per share in the current quarter and $0.03 per share in the year-ago quarter. Record first quarter sales of $913 million were up 20% from the prior year period. The sales increase was due to higher pricing, especially in our steel processing and metal framing segments. The gross profit margin rose from 10.4% to 16.6%, primarily as a result of a much wider spread between selling prices and material costs in the steel processing and metal framing segment. SG&A expense fell as a percentage of sales from 7.2% to 6.9% despite increasing $9 million. The increased dollars were a result of higher compensation expense, which included profit sharing and bonuses that rose with record earnings. Quarterly operating income increased from $24 million to $88 million excluding the restructuring charges in both periods. Operating income does not include an additional $25 million in equity income from eight unconsolidated joint ventures, the most significant of which, Wave, had record quarterly earnings. Collectively, equity income rose 67% to $25 million from $15 million last year due to Wave’s record performance, as well as to the addition of our Mexican steel processing joint venture, which was newly formed in September 2007. As a group, the eight joint ventures generated $231 million in sales during our first quarter and paid us $15 million in dividends. Miscellaneous expense was in line with the year-ago period and interest expense increased almost $1 million due to higher short-term borrowing. Income tax expense for the quarter rose due to significantly higher earnings. We expect the effective tax rate to remain at 30% for the balance of the year. And now to the balance sheet -- total debt was $445 million at quarter end, short-term borrowings increased $64 million from our May fiscal year-end, primarily to support higher working capital requirements and also our acquisition of Sharon Stairs in June. At quarter end, our total debt to capitalization ratio was 32.5%. For the first quarter, cash provided by operating activities was $22 million. Working capital requirements have increased as a result of much higher prices for steel. Our investment in inventory in dollar terms is probably a record, even though our tons in inventory declined 10% from fiscal year-end. We expect to bring inventory levels down further in the next few quarters as we adjust to reduce demand forecasts, which should generate cash as a result. For the quarter, capital spending excluding acquisitions was $15 million compared to depreciation of $16 million. For the year, capital spending is expected to exceed anticipated depreciation of $65 million because delays pushed from fiscal 2008 project spending into the current year. Now to talk specifically about first quarter results for each of our three primary business segments, beginning with steel processing, which represented 50% of revenue this quarter. Steel processing’s quarterly sales rose 29% to a record $460 million from $356 million in last year’s first quarter. The increase in sales was due to much higher pricing, which moved upward with steel raw material pricing. Volume fell 7% due to continued weakness in demand from automotive related customers. Growth from our new business development efforts helped offset some of the weakness in automotive as year over year big three production was off a much greater 22% during the same time period. As a result of these changing customer dynamics, automotive now represents approximately 40% of the business in steel processing segment, down from a peak of 61% in November 2005. For the company as a whole, exposure to automotive is now 23%. Operating income quadrupled for steel processing, rising to a record $44 million from $11 million last year, excluding the restructuring charges in the earlier period. The operating margin rose from 3.1% to 9.7%. The increase was due to wider spread between average selling prices and material costs, largely as a result of lower priced inventory and a rising price environment. This contrasts with last year’s first quarter when the reverse was true. Turning now to our metal framing segment, which represented 26% of revenues this quarter, first quarter sales of $233 million were up 18% from last year’s August quarter, when sales were $198 million, primarily due to increased average selling prices of 35%. As raw material costs rose, the sales team did an outstanding job raising selling prices, despite the challenging competitive and demand environment. Volumes declined 13% compared to the year-ago time period. Continued weakness is expected as credit and financing difficulties result in commercial project postponement. The spread between average selling prices and material costs rose significantly compared to the year-ago quarter due to the higher pricing I just mentioned and lower price inventory. Excluding restructuring charges, the resulting operating income of $22 million was significantly better than the $7 million loss in the year-ago quarter. Finally, in our pressure cylinder segment, which represented 16% of total company revenues, sales for the quarter were up 9%, or $12 million from last year, due primarily to increased volumes in our 16-ounce camping gas product line. Operating income increased almost $1 million from last year’s record first quarter results to $19 million, while the operating margin declined slightly. Pressure cylinders continues to realize the benefits of relatively stable markets and improvements that we have made to the business through consolidation, acquisition, geographic expansion, operational enhancements, and product innovation. George will now continue with his remarks on operations.
George P. Stoe: Thank you, Richard. We are obviously very pleased with the results from all three of our main business segments during our first fiscal quarter. FIFO accounting benefits us in a rising price environment, as was the case during our first quarter, and contributed to our strong earnings for the quarter. However, all of our businesses are focused on reducing costs, maximizing asset utilization, and driving operational improvements. We reported last quarter that our metal framing business returned to profitability and we expected it to show continued improvement through our first fiscal quarter. During the first quarter, our sales were up 18%, or $35 million, from the previous year’s first quarter. It should be noted that while our prices in the marketplace have increased more than 50% since last October, the high price of steel and corresponding low prices for lumber, the instability of the financial markets, and a general slowdown in the commercial building sector are cause for concerns in the coming quarter. In our steel processing business, we talked on the last call about the weakening demand in automotive and building and construction. That weakness continues but is being partially offset by more robust demand in energy and agricultural related markets. We realize some [price] related inventory gains during our recently completed quarter but they will subside as steel prices have leveled. A note of interest that I wanted to make is that the employees at our Porter, Indiana facility recently voted to decertify the union that was elected in 2006. We greatly appreciate the confidence the employees have shown in our ability to operate the facility union-free. Work has begun in designing the building, specifying equipment, and in general preparations for our new J.V. site in Monterey, Mexico with our partner, Serviacero. This J.V. continues to produce great results for us in its first year of operation. This is further evidence of our commitment to a long-term strategy of expanding our reach globally. We are very proud of the fact that we now operate in 11 different countries. This strategy has been instrumental in supporting our earnings performance. Over the past few years, we have averaged one-third of our earnings outside the U.S. Our cylinders business continues to enjoy strong demand and growing market shares in many of their key product lines. Our sales for the quarter were up 9%, or $12 million from the previous year’s quarter. We have grown our sales by more than 75% in this business since 2003, with an associated dramatic increase in our profitability. And I can’t close without mentioning once again the continued success of our safety initiatives. The results from our long-term efforts to improve the safe operation of our facilities are outstanding. During fiscal 2008, 19 different facilities worked for a collective 2.4 million man-hours without a lost time incident. I’ll now turn it back to John P. McConnell for final comments.
John P. McConnell: Richard and George, thank you. That was a very good overview of the fiscal first quarter, which was very, very good. And George, for those of you on the call, I don’t know if you would know, I don’t know if we’ve said it before but back when George was leading our cylinder division, he is really the one responsible for launching this very hyper attack on safety in our facility, so George, I know you are very proud of those numbers and so am I and everyone here at Worthington. Now as I said earlier, the transformation plan grew from our initial cost reduction efforts, during which we identified savings totaling $39 million in overhead expense reduction, early retirement, plant, and plant closures. That’s exclusive of expenses relating to achieving those savings. To date, $22 million of the $39 million in identified savings has been realized. The remaining $17 million will be fully realized by 2010. The transformation plan, using outside help and a rigorous process to examine everything we do from top to bottom, end to end, consists of seven priority areas featuring our three big businesses and core functional areas, such as sourcing. It is still in its early days. We are only four months in from the launch of our first deep dive in one of our steel processing locations. Last month, this facility turned its focus to capturing the opportunities identified and we moved our assessment team to a second steel processing location. It was heartening to look that with the expertise and experience and tools developed from the first site, the process is moving much more rapidly. The diagnostic will be done in two months versus four. We also expanded the assessment process to metal framing in the past 30 days. While it’s early in our broader effort, the opportunities we are uncovering are significant and they are real. This is an exciting time at Worthington. It’s been exciting to watch individuals from all levels step up and create positive change. It’s been very pleasing to watch some of our veterans accept the need to change practices that were once successful but are no longer effective. We will continue to update you on our transformation efforts as we go forward. Again, our efforts are very young but if the last four months are indicative of the future, and I believe they are, we will continue to gain momentum over the course of this fiscal year. I thank you again for joining us today. We clearly have challenges ahead, the depth and extent of which has yet to be known, but our focus on improving our performance and to truly transform Worthington Industries will mitigate the short-term results and more importantly, position us to increase our earnings power sustainably in the future and increase our fundamental capabilities over the next several years. We’ll be happy to take your questions now.
Operator: (Operator Instructions) Your first question comes from Chuck Bradford.
Chuck Bradford - Soleil (Bradford Research): Hello?
John P. McConnell: Good morning. You just now came on kind of mid-sentence there, so if you would start over, please.
Chuck Bradford - Soleil (Bradford Research): First of all, good morning. Secondly, could you quantify the FIFO gains for the quarter?
John P. McConnell: They were a significant part of our earnings, that part is clear. They were different in each of our businesses, to an extent, largely affecting the metal framing and steel processing the most. But beyond that, we’re not going to give you a number.
Chuck Bradford - Soleil (Bradford Research): Okay. Thank you.
Operator: Your next question comes from James [Perry]. Please state your organization.
James Perry - Perimeter Capital Management:  Could you tell us what happened, what was different about how you mitigated the high steel prices and then the correction that occurred in the quarter? Did you do anything differently? Have you focused on that more than usual?
John P. McConnell: I’m not certain I grasp exactly what you are after here but we certainly have been working to improve our performance and thereby mitigating any ill effects of lower priced steel coming through the inventories. That’s an effect that really hasn’t been felt as yet. Prices have largely plateaued. There is some slight softening of pricing from different mills but there’s certainly been no steep retreat as far as pricing goes.
James Perry - Perimeter Capital Management:  Well, you mentioned that your inventory is going to be down 10%, so are you trying to overall lower your inventory the next couple of quarters?
John P. McConnell: Yes, I didn’t -- I’m sorry, I missed that as the primary focus but yes, we are very focused on our inventories. George is working with the presidents. They have a good plan and the art of which, by the way, besides the idea of doing it, is always keeping ahead of a forward slope that continues to fall in front of you and that’s the hard part of it but I think they are doing an excellent job and very focused on it. George, you might want to comment further.
George P. Stoe: Well, I think just operationally, what we try to do is that we recognize that each month, we are not going to have the inventories exactly where we want them to be for a variety of reasons, either order rates fall off or other things can happen, mills may shift early or late. And what we try to do is to make sure that we have a system in place and a process I place that allows us to get the inventories back in balance where we want them to be 60 days out, and we drive towards that each month as we go forward.
James Perry - Perimeter Capital Management:  If you had to take your crystal ball out, what do you think is happening in the steel markets and what is your outlook for prices?
John P. McConnell: It is going to be an interesting -- you could call it a science experiment. I’m interested to see what will happen, actually. Demand is certainly much softer than what’s [core] current prices and is being held up by cost drivers in that industry. The big three are continuing to hold their prices up as demand continues to fall. We hope that they are able to sustain pricing at least in a fairly narrow band going forward so that we can get some stability in steel prices that would be good for our customers and that would be good for the mills and it would be good for us. Imports have not started coming in, so we will see what happens. It’s not a normal -- you can’t just look at it on typical supply and demand and cost inputs and come up with an answer I think here. This has to do with some will and desire of the mills where they want to keep pricing.
James Perry - Perimeter Capital Management:  All right. Thank you.
Operator: Your next question comes from Tim Hayes. Please state your organization.
Tim Hayes - Davenport & Company: Good morning. First couple of questions, for your metal framing and steel processing segments, where are the inventory turns for each of those right now?
John P. McConnell: I would say that they are slowed from where we were and about five, five times annually -- four to five.
Tim Hayes - Davenport & Company: Okay, and then capacity utilization for both -- for each segment, please?
John P. McConnell: Didn’t we have an overall number, where we stand right now? You know, we’re nowhere near running at 100% capacity. I think that’s the critical answer here. We have plenty of room in all of our operations except in cylinders, probably in a couple of key spots, we’re probably bumping up against it on 16 pound and bumping up against it on 20 pound cylinders. Both -- we’ve been very successful this year in the marketplace and both are running probably seven days right now, trying to keep up and get the cylinders out that we are able to sell. And both steel and metal framing, we have plenty of capacity. As a matter of fact, the task before us over the next six to 18 months is to really get capacity matched up with needs and demand. We may have -- we already took some capacity out at Dietrich in the first quarter of ’08 and we continue to look at the footprints of both of those companies to make sure we are positioned properly and capacity is set right to match demand.
Tim Hayes - Davenport & Company: All right. Two quarters back, the metal framing capacity utilization was around 30%, 35%. Has that now, with these consolidations, improved to say maybe 50-ish?
John P. McConnell: I’d say in many of the facilities, it would be about the same. The instructive one for us was as we closed plants and actually ramped one of the facilities up to three shifts, capacity there is probably running closer to 70% right now, 80%. And clearly showed us that we can take a lot of cost out as we produce the products on that basis, not a surprise to anybody but certainly we wanted to prove it to ourselves. A bigger part of that question was could we serve the markets we retraced from and the answer to that was yes. All that data has really been compiled for final look-at right now. We don’t believe we lost any customers and service levels remained high. It takes learning a different way to operate but the final numbers on full impacts of costs, including freight movements since the one versus the three that once served that region, have yet to be put together. They will be coming in probably by the end of this month.
Tim Hayes - Davenport & Company: Okay, and just a few more questions -- the price increases for metal framing, when was the last time you raised prices? Was that in July?
John P. McConnell: Yes.
Tim Hayes - Davenport & Company: And on the -- your J.V.s, those run on a FIFO like accounting, at least the ones in the U.S., correct?
John P. McConnell: Yes.
Tim Hayes - Davenport & Company: And my last question, yesterday’s announcement by putting one of your facilities in Michigan into the expanded J.V. with U.S. Steel, I noticed that you are going to have 51% of that J.V. Is that going to still be running through the equity income line or is that going to be consolidated within the segment now?
Richard G. Welch: It’s going to continue to run through the equity line because it’s a joint ownership. Control is the same for each partner.
Tim Hayes - Davenport & Company: Okay, and that Michigan asset wasn’t steel processing, correct?
Richard G. Welch: That’s correct.
Tim Hayes - Davenport & Company: And for modeling purposes, how -- what kind of sales should we be pulling out from that segment?
John P. McConnell: We’re kind of looking around for a number. The fact is they will be at the moment about the same as all four facilities were prior to. We are assessing exactly how we want to operate that, whether we go to three plants or remain at four. And U.S., our partner is also very focused on what it needs to do to fill up these facilities to a greater rate as we go into the contract season and look at additional [tolling] and master coil arrangements.
Tim Hayes - Davenport & Company: Okay, maybe we can circle back on that one then?
John P. McConnell: Yes.
Tim Hayes - Davenport & Company: All right, thanks. That’s all my questions. Thank you.
Operator: Your next question comes from John [Tomasas]. Please state your organization.
John Tomasas - Independent Research: Congratulations on the record results and the good decisions early in the year to begin or continue to rationalize to cut costs. In view of the unfortunate wealth effects in the housing market and the financial segment, services segment of the stock market and the credit crunch, will you be continuously reevaluating the cost reduction program to shrink more if the markets shrink, particularly in framing?
John P. McConnell: In both framing and steel. If we look at the most effective markets going forward, it will be those two and we really have -- moving from cost reduction to transformation, this will be probably the last quarter we talk about the initial effort and they all blend into one under transformation as we continue to focus on cost reduction, so we’ll continue to report on cost reduction every quarter, John, and you will be able to see the results of what we do. But we redoubled our efforts, let’s put it that way, a couple of months ago, to make sure that we are moving to keep up with contraction that is coming our way. The difficult of course is understanding, as I said in the call, the depth or extent of what’s going to happen and I don’t think we’re going to know that for a few weeks at the soonest, until this starts to settle down.
John Tomasas - Independent Research: If I could ask a second question -- we’re estimating that world iron ore output rises 7%, 8% this year and next year. In the September quarter, the major coal companies are up something like 13% in output and you know, there’s always a chance that world steel production falls, metal steel is cutting production in the fourth quarter. Is there -- are there extra inventory reductions you can do just in case the steel price turns a little toxic to permit you to buy back more shares rather than take inventory hits on the way down?
John P. McConnell: I’m going to let George again focus on that. He’s working with the presidents to drive inventory but again, the kind of macro answer is certainly in the last 30, 45 days we’ve said listen, we’ve got to make sure we stay ahead of the curve and always -- and stop trying to catch up to it. You’ve got to assume it’s going to be less than you think at the moment you are taking that snapshot 90 days out for the next set of orders.
George P. Stoe: John, I think that part of the challenge for us is being a steel processor, our customers expect us to have inventory at every moment, so we try to balance that against what we think we need to operate the business efficiently and effectively going forward. And we are constantly monitoring that on a weekly basis to see what the order rate is coming in and what kind of orders we have to put on with the mills as we are going forward and certainly going over into the next few months into October and November, the mills have seen a drop-off from us to make sure that we keep our inventories where we want them to be and to not get caught with high-priced inventory. As John mentioned earlier, I think that it is our great hope that the mills will show discipline and keep the prices balanced at a level that makes sense for everyone and that we don’t see a huge drop-off in the prices. I don’t think that’s good for us or certainly good for the marketplace.
John P. McConnell: John, kind of a good adjacent point on this, just so everybody can also understand our numbers, particularly from an inventory standpoint as we go forward -- as you all know, we have been in the midst of rolling out our Oracle ERP system in the steel company. Every division we go to, and we are in through five at the moment, we will build inventory up in advance of that beyond what we think we need just because there is always going to be noise and disruption as you turn on the switch. We get better and better at it as we go. More importantly, where we have been up for a while and are learning to understand and use the system and the tools available in it, our ability to manage the inventory is going to continue to increase very rapidly. Due to this investment of $75 million in the Oracle system, we can now tell you in the plants that have been up for any length of time, the cost of everything we do by the minute. It’s pretty exciting and puts us in a new place. It’s one of the things that help us drive this transformation forward and understand what we need to do. But it does have a side effect on inventories, both negative in the front end and more positive in the back-end and the more people get skilled at using it, the better we are going to be.
John Tomasas - Independent Research: Thank you.
Operator: Bob Richard, your line is open. Please state your company name.
Bob Richard - Longbow Research : Great quarter. Just to beat the inventory turns to death, you mentioned four to five times last quarter, or in the first quarter, pardon me. Where would you like to see that normally?
John P. McConnell: Well obviously, the faster it turns, the happier we are. I think there are just some systemic issues in the industries that are not going to permit us to go much faster than we are going at the moment. You know, if we could get to six to eight, we’d be thrilled. You know, in a period right now, six to eight may be achievable due to a very quick delivery and lead time that you get out of the mills because it’s [softer], there’s open capacity but you know, you go back seven months ago and it was a 60- to 90-day window. That’s the best you can get and then often, the material wouldn’t come in. So we all have to work together. That’s why one of our primary focuses, as you’ll recall from my comments is the transformation of supply chain management and we are reaching out with the mills to try to discover different ways to make this an easier animal to manage and try to focus on getting our turns up. But systemically, it will be very difficult to get much beyond where we are until some other things change.
Bob Richard - Longbow Research : I appreciate that. And six to eight times, a very nice goal -- that would be the same between steel processing and metal framing, or would you want to turn one faster than the other?
George P. Stoe: I would guess that we probably would like to see the steel processing a little bit higher than metal framing, just because of the locations of where we are and the variety of products that we have to keep an inventory with the metal framing business.
Bob Richard - Longbow Research : Thank you, and one follow-up -- John, are all your facilities on the Oracle now?
John P. McConnell: No. We have -- we have just launched Delta over the Labor Day weekend. Behind that is Columbus. That is the last of our primary process deal locations. That will be done -- targeted right now to launch in December, completed by January and -- now, there are a number of small divisions that weren’t part of this originally. One would be the impacts on the U.S. joint venture we just announced. That does not have an Oracle system. U.S. is rolling out Oracle into their facilities at the same time, so a lot to sort through how and when we put those systems together. But that would be the only remaining piece that touches steel that right now is planned to do but no execution plan on timing to do it, if that makes sense.
Bob Richard - Longbow Research : It sure does and again, great quarter and thanks for taking our call.
Operator: Kevin [Muni], your line is open. Please state your company name.
Kevin Muni - Cleveland Research: Good morning. I think I’ve asked this before but I just wanted to get your take on what the drivers are in the Wave business. It just seems like this business keeps performing pretty well in what seems to be a down market -- just wondering what’s going on there.
John P. McConnell: Obviously we are extremely proud of John [Lapranokis] and his team and what they have done over at Wave. It’s been a company that since its founding just continues to improve as the years pass. There are a number of good things kind of systemically that are -- that help that business, one of which is we have a great partnership with Armstrong. That’s probably the primary thing, so we are a grid producer linked up with a very strong brand name on the ceiling tile itself. It’s a packaged product so it’s difficult for someone else to come in and just hang the grid. You can’t get Armstrong ceiling tile without our grid with it. Now, for the first time this past year, we actually sold more grid than tile was sold and I think that’s a great benchmark for that company and what they are doing. Fairly limited space, like cylinders, in each of its product lines, fairly limited competition. So they have done a beautiful job of growing internationally and really tending to the market needs of their customers, not being afraid to make the tough decisions and again, dealing with -- in a place where we have a great partnership with Armstrong and limited competition. Those are all very beneficial things, not to take away from their execution because they are taking cost out of that business every year on a significant manner and the other thing they hang their hat on is great product development. We continue to develop grid products that are easier to install, faster to install for the distribution network and some of that may be why our products continue to evolve and have started to sell a little more grid than tile at the moment, obviously displacing someone else’s tile package. So those would be the broad issues around that.
Kevin Muni - Cleveland Research: Okay. Thank you.
Operator: Your next question, Mark Parr, your line is open. Please state your company name.
Mark Parr - Keybanc Capital Markets: Wow -- this is two in a row. You guys are on a roll. Great quarter. One thing I -- and I missed the first few minutes of your commentary so I apologize if I’m asking something that you’ve already talked about but this transformation process that seems to really be having an impact on the bottom line, could you give us some more color on the kinds of things, the kinds of opportunities that you are seeing in -- both in the steel processing area and in the metal framing arena?
John P. McConnell: One of the things we said, Mark, was that we just launched the diagnostic a month ago in metal framing, and both of them I think is safe to look at and talk in terms of equipment efficiency, how we get work through our facilities. Clearly we began to discover that we can be a lot more effective with the way push material through, and it largely has to do with a -- I’m trying to make sure I don’t help my competitors here -- a focus on the time and how you utilize equipment as opposed to the tons that you get across line. In this business, it is very easy to get fixated on tonnage and it’s frankly the wrong metric. So that would be a quick example. We know that we need to go out and continue to expand our marketplace. I said that in the first quarter of ’08 when we announced our cost reduction efforts that we were going to start going after medium and smaller customers that we had not been going after for a while. And as George mentioned in his comments, the agricultural and energy markets clearly a part of that effort, that we went out and were able to penetrate markets we just were not participating in. So we need to get more efficient in how we produce things and more effective in total added cost to our customers and we also need to broaden our customer base. In real broad form, that’s where our focus is as a result of the diagnostics and some of this we’ve known and believed kind of instinctively for a while. What the diagnostic does and you have the Oracle system behind it with strong facts is bring anybody who doubted it over the wall, so we have a lot of people pushing and rowing the same way and it’s a very good and exciting time right here.
Mark Parr - Keybanc Capital Markets: Does the Oracle implementation provide the basis for this transformation or are they -- I’m trying to think -- are these parallel paths or is one necessary before you can do the second?
John P. McConnell: It is not necessary. We even had some debates of whether to go to a non-Oracle -- a facility where Oracle wasn’t installed, that’s said better. And we believed that we could do it. Our outside support believed we could do it. Would it be as easy or as accurate, and the answer to that is absolutely not. So we’ve been running them with the diagnostics trailing Oracle so that we have really good solid information when we walk in. The opening day of the second sight that we went to on a diagnostic dive, we had all the customer information profitability wise on day one. Now, it took us six weeks -- well, a little longer than that, actually -- eight weeks to develop that tool at our first sight and how to use the information properly. So this is where what we are doing on deep dives is also helping drive an accelerated learning process on how to use Oracle more effectively, so both of those things go in tandem. They are very much linked up. They do not have to be but they are best when they are.
Mark Parr - Keybanc Capital Markets: Okay. All right, that’s really helpful. Thanks for that color. I had one other question, if I could -- if I could get -- could you give us some color on the pricing discipline amongst your competitors in steel processing? I know that particularly in the strip market there had been some concern about excess capacity and lack of pricing discipline and I’m wondering if there’s been any shift or any improvement in that dynamic in the last several months.
George P. Stoe: I would certainly say to you that we have seen a change over the last few months in the marketplace, not just from the mills side of things but our competitors. You probably saw in the paper yesterday that one of our competitors announced they were closing a facility they had in Flint, Michigan, the other day and I think that everybody is looking very carefully at the backlog of orders that they have and the projections that they are seeing for the coming months and trying to match those things up better than they have in the past. As John mentioned, I think many of the businesses were run on chasing tons and I think that we see a lot more emphasis on people looking to profitability today.
Mark Parr - Keybanc Capital Markets: Okay. I guess just along those lines, just one other question -- recently in the trade press, there’s been some reports of lawsuits that have been filed by service center processor entities -- you know, not Worthington but other entities have filed anti-trust lawsuits against the steel industry. I mean, have you had a chance to look at those and do you -- is there anything, any commentary or any color that you can give on how you feel about the veracity or the validity of what’s happened here?
George P. Stoe: Well, all we know is what we have read in the American Metal Market and other publications. I think that our position is that we have not seen that in our side of the business. We can’t talk about somebody else’s business and what they see but we have seen the mills being very responsible and very circumspect in what they do and we haven’t seen any indication of that kind of thing at all.
Mark Parr - Keybanc Capital Markets: One of the things that I noticed in that that I thought was interesting was that at least in the one complaint that I read, none of the Russian mills were named and I’m just -- I was wondering maybe if -- have the Russians been acting much differently in the market than say Middle and U.S. Steel and some of the other players?
George P. Stoe: No, definitely not. We see the kind of activity from all of the mills in similar lights. We don’t see somebody acting differently. As John mentioned, we’ve seen some of the smaller mills be more aggressive on pricing and trying to get more business in to fill up but we’ve seen a general discipline out there in the broad marketplace.
Mark Parr - Keybanc Capital Markets: Okay, terrific. Thanks very much for all the help and congratulations on all the great progress.
Operator: (Operator Instructions) Your next question comes from Sal Tharani. Your line is open. Please state your company name.
Sal Tharani - Goldman Sachs: Can you give us the tolling percentage this quarter in your process steel business?
John P. McConnell: It’s remained -- you know, it doesn’t change a lot but it definitely has gone from being a little stronger on the top side to tolling being -- dropping to like 49 versus 51 direct. That number’s not going to shift around a lot. Tolling kind of retracted a bit more than that at one point during the fourth quarter and in the first and has come back a little bit.
Sal Tharani - Goldman Sachs: You are getting actually some improved business in the tolling from the auto industry?
John P. McConnell: Yes.
Sal Tharani - Goldman Sachs: Okay, and also, how far is the outlook on the metal framing side in terms of backlog and how do you see over the next few months things turn around?
John P. McConnell: George is very close to that market. I believe he is going to say that it’s pulling back quickly but I’ll let him expand on that.
George P. Stoe: Sal, I think John’s absolutely correct. In our first fiscal quarter starting in June, the volumes for the first two months were about right where we thought they would be. We saw a drop-off in that third month of our first fiscal quarter and we are seeing a similar experience as we go forward in the coming months.
Sal Tharani - Goldman Sachs: Are you adjusting your inventory based on the order book you have?
George P. Stoe: Absolutely.
Sal Tharani - Goldman Sachs: And also just one quick thing on -- the FIFO impact, was it more on the framing side or more on the process steel side?
John P. McConnell: Richard, do you have a feel for that?
Richard G. Welch: I think it was more on the steel processing side.
Sal Tharani - Goldman Sachs: Great. Thank you very much, guys.
Operator: I am showing no further questions.
John P. McConnell: Okay. Thank you all very much for joining us this morning. We had an excellent first quarter of the year. We are being as clear as we can, as we always have tried to be, what the future holds. There’s going to be some clear contraction in some key markets for us. Another takeaway we’d like you to keep in mind is we are working very hard to make sure we mitigate that using all the levers that we have here at Worthington. Let’s all hope that somehow our friends in Washington and those on Wall Street can figure out how to get a little stability back in the financial markets and help the economy overall and all of us feel a little better and the consumers returning to a more normal pattern. Thank you again for joining us and we look forward to talking to you next quarter.
Operator: That concludes today’s conference. Everyone may disconnect at this time.